Operator: Good day. My name is Jay, and I will be your conference operator today. At this time, I would like to welcome everyone to the Fiscal 2018 Fourth Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to turn today’s program over to Gus Okwu, GW Comms. The floor is yours.
Gus Okwu: Thank you, Jay, and welcome to Aviat Networks’ fiscal 2018 fourth quarter and year end results conference call. We just filed our Form 10-K, issued our press release and posted an updated investor presentation on our Web site. All documents can be found in the Investor Relations section. Today, we will have prepared remarks from Michael Pangia, President and Chief Executive Officer; and Stan Gallagher, our recently appointed Chief Operating Officer. Shaun McFall, Senior Vice President and Chief Marketing and Strategy Officer is also with us and will be available during the Q&A portion of this call. During today’s call, management may make forward-looking statements regarding Aviat’s business, including but not limited to, statements relating to projections of earnings and revenue, business drivers, the timing and capabilities of new products, network expansion by mobile and private network operators, and economic activity in different regions. These and other forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. Please note, these forward-looking statements reflect the company’s opinions only as of the date of this call, and the company undertakes no obligation to revise or publicly release the results of any revision of these forward-looking statements in light of new information or future events. Additionally, during today’s call, management will reference both GAAP and non-GAAP financial measures. Please refer to our press release and the financial tables therein, which include a GAAP to non-GAAP reconciliation and other supplemental financial information. Additionally, I wanted to let you know that management will be participating at three Investor Conferences in the coming months and potentially more as we are in discussions. As of now, they will be at the LD Microcap Conference on September 4, the Microcap Conference on October 1st and 2nd, and the LD Micro Conference from December 4 through 6. I’d like to thank you all for your interest and support, and we look forward to updating you on our progress. I will now turn the call over to Mike. Mike?
Michael Pangia: Thanks, Gus, and good afternoon. Overall, I’m very pleased with our results. As you saw from our release, we had a strong fourth quarter and finish to the fiscal year. Our revenue grew by over 10%, our margins were exceptionally strong, and we generated $3 million in non-GAAP operating income and $4.4 million in adjusted EBITDA, all significant year-over-year improvements. The investments we’ve made in new products and all the work we’ve done to improve our foundation has me excited about our future. We are gaining share in the markets we’re addressing and are well positioned to pursue new customers and new segments. We are poised to drive both growth and improved profitability in fiscal 2019, and the opportunities over the next several years should be even greater. I'll first start with a recap of fiscal 2018, highlighting our year-over-year progress and what drove performance. I will then turn the call over to Stan Gallagher, our new Chief Operating Officer, and will come back with some final remarks on our outlook and what we see in the market with respect to our growth prospects. Our book-to-bill in fiscal 2018 was above 1 and momentum continues to build. Revenues of $242.5 million were up modestly and mark the first year of growth since fiscal 2013. North America revenue was relatively flat, while our international business returned to growth. Throughout the year, I talked about stabilization and some bright spots that we were seeing. Well, international is now on a growth trajectory, and we expect some meaningful gains in fiscal 2019 and in the coming years, driven by opportunities in Africa, the APAC region, and Europe. North America growth was minimized by a major state contract award that was delayed. However, we expect this to be resolved by calendar year-end. Non-GAAP gross margins of 33.1% were up 170 basis points versus the prior fiscal year. For the past three years, through process enhancements and new product contributions, we’ve consistently generated gross margin improvements. To put this in perspective, since fiscal 2015, non-GAAP gross margins are up over 900 basis points. Also through process enhancements, we’ve successfully lowered our fixed costs and overhead. Year-over-year, non-GAAP operating expenses increased by only $900,000. While we faced some currency headwinds that added to our costs, we were able to divert more spending to R&D and our sales efforts while reducing G&A as compared to fiscal 2017. Overall, we have taken our quarterly run rate of approximately $25 million, down to the $20 million level or less. From a bottom-line perspective, we reported non-GAAP operating income of $5.4 million and adjusted EBITDA of $10.1 million, up $3.5 million and $2.5 million, respectively. Comparing our results over a 3-year period, non-GAAP operating income improved by close to $24 million and adjusted EBITDA improved by over $21 million and both are expected to increase again in fiscal 2019. That’s the financial story and we continue to make progress. Let me know shift to what's driving the numbers. Starting with North America, our private networks business has been growing for the past several years and while revenue was down slightly in fiscal 2018, demand has not lessened. We’ve grown our business with key accounts, won new competitive bids, and we are actively engaged in meaningful RFPs. Let me begin with a few highlights from our public safety vertical. In the cases of Nevada and Colorado, two of our most recent and notable statewide accounts, we’ve seen an uptick in business receiving additional orders above and beyond the initial contract awards. We were awarded a public safety project with Broward County, Florida, a new customer. Working in tandem with our partner Motorola, we're providing the backhaul network including microwave and routing solutions that will connect local first responders with agencies across the county for faster and more efficient mission-critical communications. We won new projects in Lancaster County, Pennsylvania with our IRU 600 radio platform, which also included design and installation services. In this most recent quarter, we also added new customers with other counties in Pennsylvania and in Georgia. These are just a few examples of our progress. I also noted on last quarter's call that we were pursuing several new statewide networks, and I remain confident that over the next year we should capture two or three new state customers, which would positively contribute to fiscal 2020 and beyond. Demand for mission-critical networks for first responders continues to intensify, and we’re well-positioned given our leadership position to address each and every U.S state opportunity as they arise. A lot of our progress has also been driven by utility markets. Aviat sells to more than 50% of the largest U.S utilities, and we continue to see consistent activity within our installed customer base, while adding new customer accounts. For example, in the fourth quarter, we added new utility customers in Oklahoma, Texas, and in Colorado. In fact, our momentum in utilities is such that it represented more than half of our Q4 bookings in the private networks vertical. As an example of this momentum, last week Chugach Electric participated in a webinar where they explained to over 60 other utilities how they will use Aviat Technology to complete their migration to a next generation utility network. This session has already resulted in discussions with new prospects. Additionally, in Q3, we won a new award with one of America's largest transportation companies, which was a significant win for Aviat and positions us well with other customer pursuits within this vertical. Staying with North America, on the service provider side, we maintained our position. But more importantly, the solutions we brought to market in fiscal 2018 coupled with the recent launch of the Aviat Store are opening up new avenues for growth. The Aviat Store is our new self-service online marketplace where customers can buy our newly released WTM 4000 All-Outdoor platform. The Store initially targets the North American market and simplify coding and ordering, while significantly speeding up deliveries with next-day shipping. The Store is designed to capture new market share in the all-outdoor radio segment which represents as much as 20% of the current global microwave radio market and is virtually all incremental business for Aviat. This is a big development for us and we will improve our competitive position. As it relates to 5G, its coming soon and our customers and certain operators that are not yet customers are engaging with us now to set the stage for network build outs and evolving mass adoption. With the rise in data applications 4K video technologies and the Internet of Things, carriers will continue to need backhaul capacity and fiber and microwave will both be in play. Beyond capacity with 5G, there will be a greater need for automation that will generate new ways to simplify the microwave lifecycle and that is where we have focused our R&D and partnership efforts. I urge you all to review our Web site and look at some of the news items that have recently been published. One in particular is the white paper we co-authored with Ciena, the number one ranked global optical network hardware supplier per IHS. We're working closely with them to develop the right solution set that will support operators in meeting the varying demands of 4G and 5G transport, while at the same time simplifying the networks. Let me know shift to the international markets. As I noted earlier, international revenue was up 1.5% for the fiscal year, but take a closer look at our performance in the second half. Q3 revenue was up close to 3% and Q4 revenue was up over 45%. In Q4, all international regions were up led by strength in APAC and Europe. Throughout the fiscal year, we added several new accounts across Africa, Europe and the APAC region. We successfully expanded our business with current accounts, one over the past few years and a lot had to do with our enhanced product and service offering, which is enabling us to grow and beat the competition. Last quarter I talked about new business with a Tier 1 service provider for our trunking solutions, which has the potential to expand throughout several countries in Europe. And we are currently working on another large-scale opportunity which has the same potential and European reach. This past quarter in Europe we added several new accounts through which include a leading ISP company and the other an IP backhaul solutions provider. In APAC region, as noted in our press release issued on August 16, we were awarded over $12 million in new business in the fourth quarter, four accounts each with unique product and service offerings. With respect to Africa, our largest international region and with MTN, our largest customer. Our position remains strong. In years past, capital investments were limited, and we're now seeing some signs of increased spending as operators upgrade their networks. MTN, Airtel, Safaricom are all important customers in the region and with our WTM 4000 platform and expanded product portfolio, we have the right solutions at the right price points that address their network needs and deliver the most compelling TCO value. While the competitive landscape is evolving, we've seen competitors take share away from each other, while we have been able to maintain if not grow our position. Pricing pressure and currency exchange movements in Africa and for that matter across the international markets, is something that we will continue to monitor. But we feel confident that we can overcome these challenges and continue to grow our share in the coming years. I will now turn the call over to Stan, I will then come back with closing remarks. Stan?
Stan Gallagher: Thank you. I am very excited to be part of the Aviat team and like Mike, I believe we have tremendous opportunities ahead of us. Having worked closely with the company for the past several years, I've seen firsthand the massive transformation we have gone through. While a lot has been accomplished and we have a much stronger foundation, there are still many areas where we can improve with an eye on enhancing profitability. I also believe that through better data analysis and reporting, the use of automation and artificial intelligence and a more streamlined support structure, we can support and drive growth across the globe. I am truly looking forward to this next phase and meeting with the shareholders in the coming quarters. Over the past 60 days, we’ve done a deep dive assessment into our business, looking at all functions, processes, our systems and resources, customer footprint and sales pipelines, everything that will enable us to operate our business efficiently and smarter, and of course more profitably. But it's not just about the bottom line, we are putting in place the right end-to-end organizational frameworks and instituting processes that support the growth side of the equation as well. While we had a pretty aggressive plan entering this fiscal year, we have identified several additional projects that should generate significant improvements over the coming quarters and years. I am confident in that. So let me talk about what we're executing on now and what will be covered throughout the course of the year. We will be connecting all back office touch points setting up an integrated team to gain greater span of control oversight and speed. Previously back-office functions have been fragmented, which caused some inefficiencies and certainly higher operating related costs. With this new centralized model, which includes operations, finance, IT and business process engineering, we will be able to remove a lot of the handoffs and potential defects. Business technology is a key area of focus and investment for us. Having worked at GE for roughly two decades and over the past eight years as a consultant, I have seen firsthand the importance of having the right systems and tools and the right people authorized and trained on those systems. Business is run on data, and without it you simply cannot run efficiently and make smart decisions. Thankfully, Aviat is in great shape here as we’ve invested over the past several years and all systems are capable of being fully integrated. The next phase centers around automation and artificial intelligence. In essence, how can we leverage business intelligence to make faster decisions and how we adapt and utilize the full power of AI to make our sales team more effective in the field. Businesses need quick access to reliable data at the early stages of planning and throughout the customer lifecycle. Through artificial intelligence, we will be able to operate faster and control back-office costs by consolidating processes and resources. We will also have machine learning tools that can identify trends, variances and anomalies in our business through predictive analytics. The last piece is about sales enablement, using the right tools and applications that can link our business with our customers. I'm not talking about the physical linkage, but rather automated tools that combine Big Data and Machine Learning that can help convert opportunities into orders. Lean and Six Sigma programs will be -- will continue to be a big focus for us. We launched our Lean initiative as a key part of our turnaround and we intend to take Lean Six Sigma principles to the next level as part of our growth strategy. As you saw from our Form 8-K filing in June, our realignment plan is anticipated to generate $1.2 million in net savings after one-time reorganization costs. The majority of which will be reinvested in R&D and sales related areas this fiscal year. We also noted there was approximately $3 million of additional savings that we expect will be realized in fiscal 2020. As we're just starting fiscal year '19, we're not going to commit to additional savings, but I am confident that through Lean Six Sigma and the additional projects I alluded to in my opening remarks, we will drive further savings in our business. Some of that should fall right to the bottom line, while a portion can be allocated to new product development, the build out of services, sales force expansion and new technology investments. This is all about freeing up resources to invest in areas that deliver customer value, while propelling growth and profitability. Just a few additional comments. Mike covered Q4 highlights and fiscal year results. And information can be found in our press release, investor deck and Form 10-K. I would, however, like to provide information regarding our transition from 605 to 606 and the impact to our P&L and balance sheet. Effective at the beginning of our fiscal 2019 first quarter, we are adopting the new Revenue Recognition Standard commonly referred to as ASC 606. Essentially ASC 606 has changed the way or rather the timing in which companies recognize revenue and has become the standard we will use for U.S GAAP Accounting moving forward. Prior periods will not be retroactively adjusted and there is no material impact to our business. However, near-term there are variances between the P&L and balance sheet, and I feel it's important for everyone to have clarity. Our full disclosure can be referenced in our 10-K. In simple terms with a new standard, there is approximately $17 million to $19 million from our backlog that will not be recognized as future revenue. However, with this one-time transition event, the net earnings associated with that revenue estimated to be $5 million to $6 million will go into retained earnings at the beginning of Q1 fiscal '19, having the same effect as flowing through the P&L. So when you look at our financials after the first quarter results, this should be taken into account. Lastly with respect to our balance sheet, you will see that our cash position increased year-over-year by $1.2 million, but declined by just over $1 million sequentially. One factor had to do with the timing of collections, particularly in Africa, and this drove up accounts receivable. More importantly, our CapEx investments to support growth and new product introductions increased year-over-year by $2.5 million. DSOs and DPOs remain significantly better year-over-year and our inventory position and turns remain in great shape. I believe you'll see flat to modest increases in cash over the first half of the year and more significant improvements in the backend and we expect to end fiscal 2019 with a 10% to 15% increase in our cash position. I'll turn the call back over to Mike now, and again I look forward to speaking with you in the coming quarters, especially as we get more active on the investor relations front. We believe our valuation relative to our peers is very low, especially when considering fiscal 2018 results and our improved fiscal 2019 outlook. So we're going to be more proactive in telling the Aviat story. Mike?
Michael Pangia: Thanks, Stan. With respect to our fiscal 2019 guidance, we're anticipating growth of approximately 5% to 9% with revenues in the range of $255 million to $265 million, both North America and the international markets are expected to grow. Non-GAAP gross margins are expected to be in the range of 32% to 33% and there is potential upside. It really will depend on revenue mix, FX, and where we finish out the year with respect to our top line guidance. With the process enhancements stand and as teams are focused on, we believe there is room for improvement perhaps by as much as a few hundred basis points in the coming years. Operating expenses are anticipated to be approximately $77 million to $78 million with a run rate of between $19 million to $20 million per quarter with some variability associated to revenue and FX. We have a strong platform in place and there are certainly areas to cut back fixed overhead further which our teams are addressing. Using the midpoint of guidance, this would result in non-GAAP operating income of approximately $7 million, a 30% increase year-over-year and adjusted EBITDA of $13 million, a 29% increase year-over-year. For the most part, we expect the first half of the year to be similar to the second half in terms of revenue and expenses. Gross margins, however, are anticipated to be higher in the second half based on a more favorable revenue mix, which would result in higher operating income and adjusted EBITDA accordingly. For modeling purposes, we assume adjusted EBITDA will be approximately $5 million to $6 million in the first half and $7 million to $8 million in the second half. And as we normally do, we will provide updates as the year progresses. So, in summary, our turnaround is history. We are profitable and growing. And fiscal 2019 is going to be another good year for Aviat. I’m equally excited about the years that follow as we intend to continue to take share from the competition as our offering will get even stronger. The team we're putting in place and the ongoing enhancements to our business gives me a higher level of confidence in our ability to execute on plan and drive more value for our customers and shareholders. To that end, we are going to be more active this year in getting our story out to improve liquidity and valuation. We're going on the offensive and are actively exploring all avenues to strengthen our business through increased geographic focus, continued investments in R&D, strategic partnerships and potentially M&A. We're now ready to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Pete Prakash [ph]. Your line is open.
Unidentified Analyst: Hey, good afternoon. Congratulations on the bottom line improvement. Can you just bridge the capital a little bit in terms of the top line and the miss there in terms of the North American business that you said flipped?
Michael Pangia: Yes, so -- the mix wasn’t necessarily on the top line in the North American market as we talked about our fourth quarter. I would say that our expectations on higher revenue in the fourth quarter were more driven from some of the international business that we're doing in a couple key geographies, and it's the same business that’s actually transitioning through our balance sheet rather than through the P&L moving forward, so we’re talking about the same revenue that we’re losing in the 606/605 transition. That's where we actually depend on customer acceptance based on delivery of services which is difficult to predict and that’s what held this back in terms of our revenue goal for the fourth quarter and obviously for the fiscal year. As we are moving to 606 accounting, it's a lot easier to predict that revenue as we no longer have to wait for the same level of acceptance.
Unidentified Analyst: Perfect. And maybe as a follow-up, if you could, it's really good to hear that you guys are trying to increase liquidity, potential volume in the stock and also following, can you talk about some specific things that you guys have in mind to address that or is that just kind of keep your eyes, ears peeled for future press releases?
Michael Pangia: No, I think -- absolutely, we have a number of initiatives going on in that area, everything from getting our story out and attending more conferences. We've also been very active in the last few weeks with -- and working with the sell side analysts and the banks, and we’ve had a number of discussions and we expect to continue that through the course of the next week. And then there's a few other areas that we’re looking at which is a bit early for us to raise right now, but that’s clearly one of our key objectives and we look forward to improving that moving forward.
Unidentified Analyst: Thank you very much.
Michael Pangia: You’re welcome.
Operator: Your next question comes from the line of Michael Steiger [ph]. You line is open.
Unidentified Analyst: Hey, good afternoon and sorry for the background noise. Thanks for taking some of my questions. One, just a quick – a real quick one to start off is the share count -- do we have a share count number? Did that change?
Michael Pangia: Shaun? Yes, it's about 5.3 million shares
Unidentified Analyst: Right.
Shaun McFall: 5.3 million to 5.4 million, in that range.
Unidentified Analyst: Okay. So, if I’m looking at it correctly -- I’m looking at your guidance correctly and the outlook for the forward year, it sounds like you’re being slightly conservative with respect to order uptake in 2019? Is that how I should look at it?
Michael Pangia: Order uptake, I think there's a …
Unidentified Analyst: Well, orders -- new orders.
Michael Pangia: Yes, I think we’ve a number of opportunities that could position us above and beyond what we are seeing right now. But it's obviously too early for us to anticipate that or build that into our outlook as we speak.
Unidentified Analyst: And if things go well with respect to 5G or there's a sudden increase in 5G, how you -- how are you -- are you guys able to fulfill those orders without -- with the current infrastructure that you have right now, or do you think you would need to raise capital to handle that?
Michael Pangia: I'm going to ask Shaun to just explain how operators are looking at 5G in terms of deployment right now.
Shaun McFall: Yes. So, we don’t expect to see any significant step function because of 5G, and our portfolio that we’ve been enhancing for quite a while now is really 5G capable in terms of where we fit in the network. What more likely will happen with us is as operators begin to implement network improvements towards 5G, we will see gradual uptick in opportunity for us. But we expect it to last really long time, so we think 5G rollouts are going to be way longer than any prior generation we’ve seen before.
Unidentified Analyst: Got it. And then one, one final one, I guess, on the state front private networking front, what sort of things you think you will be able to do in fiscal 2019 to accelerate or to stimulate some of the states that -- to upgrade their systems?
Michael Pangia: Yes, so we got a lot of activity going on as we speak. This is a longer sales cycle process. So, we know well in advance in terms of the activity in front of us. And as I mentioned on my call, we have a number of new prospects on the statewide side that we feel good about. And one in particular, I mean there's a major award that was delayed. Hopefully that's resolved in the next couple quarters, and we anticipate a favorable position on that.
Unidentified Analyst: And then the AI, ML, the improvements on that front that you’re going to undertake, is that already embedded in the guidance that you just issued?
Michael Pangia: I think the best way for us to look at that is, if you take a look at our P&L and you benchmark that against other companies similar size to us within the industry, you’re going to realize that our G&A really stands out as being too high relative to R&D, so we anticipate probably spending a similar amount, but we will put more into the investment area and we are already investing more in our go-to-market feet on the street, so that should only enhance our business in terms of our ability to hit our top line and improve margins obviously over time.
Unidentified Analyst: Great. Thanks a lot.
Michael Pangia: You’re welcome.
Operator: Our next question comes from the line of Pete Prakash [ph]. Your line is open.
Unidentified Analyst: Hey, I appreciate the chance for a follow-up. Real quick on the stock repurchase program that you guys announced last quarter. Did you guys provide an update in terms of what you guys dipped into that or any update there that you could provide?
Stan Gallagher: Yes. So this is Stan. So we did -- give an update in the 10-K. We launched the share repurchase program in Q4 and open market purchases to date were not material as the trading volume was limited by several liquidity related parameters. And as we discuss, we’re looking at ways to improve that liquidity going forward. So we will continue to monitor the program closely and make changes as appropriate when permitted to do so.
Unidentified Analyst: Got you. And one more, if I may, just on the gross margin front. It sounds like you guys have a abnormally high GM quarter, which was definitely a pleasant surprise. It looks like you guys are reverting back to kind of like the normal course of business. Any commentary that you could provide in terms of modeling analyst to long-term GM trajectory without the kind of trough and spikes? Any chance that that could smooth out? I know it's a lumpy business, but any commentary you could provide on that?
Michael Pangia: Yes. So I think our fourth quarter and if you look at our third combined, I think that's indicative of the type of swings that we might be able to see. We have a number of moving parts, whether its FX, product mix, project mix, customer mix, geographic mix, product versus services. So on any given quarter, there could be a fair significant swing. And I think our fourth quarter, a lot of things went right for us. And when all those things go right, it shows that we could be as high as 37%, almost 37% in the quarter. I do expect to see more of a normalized view as we enter this year. And the best way to look at it is we’re probably normalized right now in that 32% to 33% level. I think we’ve been able to do a good -- a great job of improving the floor, from getting it -- that floor to be closer to 30% than less, and we saw the opportunity on a given quarter to have that type of upside. But 32% to 33% for now and as we move forward, we should be thinking more into the mid 30s as a sustainable level. And looking at improving that floor by a couple hundred basis points from the 30% level.
Unidentified Analyst: Got it. Thank you for that. And so when you say mid 30s as the kind of longer mid-term view, is that second half of fiscal '19 or is that beyond that, or it's too early to say?
Michael Pangia: I would say that we’re likely looking at the rates normalizing that level throughout this fiscal year. Again, as I said earlier, the second half is probably going to be more favorable than the first half. We need to recognize as an example, FX in any given quarter could have a significant effect. So one of the pressure points we have and it's already factored into our outlook is that in Africa we do have some of our customer networks in local currency. The U.S dollar has appreciated significantly over the last few months and we have received some pretty significant orders that will go to revenue. So there's -- you got situations like that where in any given quarter, there could be a negative effect, it could work the other way. We have mechanisms in place with our customers that over time that normalizes.
Unidentified Analyst: Got it. And speaking of Africa, could you just speak to a lot of competitors talk about the issue of hard currency, collections, so on and so forth. With the ramping up of Africa, do you see any issues with collections? And just the risk of that business coming back in terms of all the financials that go along with the cash flow, receivables, quality of those receivables, that type of thing? Anything you could provide on that?
Michael Pangia: Yes, I mean, our track record when it comes to payments in that area is stellar. I mean, I probably would give it a 99.9% type of track record. The challenges that we're seeing more recently is the ability to convert local currency to U.S dollars, and that’s extending out. But when it comes to risk of getting paid, our team does a magnificent job of upfront that making sure that every dollar that we go after is quality revenue.
Unidentified Analyst: Excellent. That’s good to hear. Well, hey, best of luck to you guys. Looking forward for the update as we progress. Thanks.
Michael Pangia: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Mark Spiegel. Your line is open. Again, Mark Spiegel, your line is open.
Mark Spiegel: I’m sorry, I had my phone muted. Thank you. How is the political situation in South Africa affecting you guys, your biggest customers are over there. I mean, there's some -- probably some craziness going on.
Michael Pangia: No direct impact on us. If anything -- again, anything to do with currency movements could have an indirect impact. But there's nothing relative to the political arena that’s having an effect on our business.
Mark Spiegel: So, I remember reading in previous filings that your currency exposure there was hedged, I don’t know how much. How hedged are you now like sort of what percentage of the exposure is hedged?
Michael Pangia: Stan?
Stan Gallagher: Yes. I don't have all the details, but we use hedging instruments both in terms of the contracts that we actually set out with the customers. And at other times we will hedge those purchase orders. Obviously, there's more around what we can do from a hedging perspective. I wouldn't give you a number right now off the top of my head. I would have to get back to you on that.
Michael Pangia: Yes, so the other thing too, I will just have to add, where we do have our pricing in local currencies. It's not a bigger deal to us on the bottom line because we do have OpEx in spending in those areas that in some ways, form a natural hedge. So that’s not a big concern to us on the bottom line as it necessarily may be in the gross margin level.
Mark Spiegel: Okay. If you could let me know how exposed you’re to South African currency, I would appreciate it. I can reach out to your IR guy, I’m sure he's on the call. He has my info, so thank you.
Gus Okwu: Sure.
Michael Pangia: You’re welcome. Thank you.
Operator: There are no further question at this time. Presenters, you may continue.
Michael Pangia: Okay. Very good. So I thank all of you for joining our call today and I look forward to your ongoing support. Thank you very much.